Martine Hagen: Good morning, and welcome to Hydro's First Quarter 2025 Presentation and Q&A. We will start off with the presentation by our President and CEO, Eivind Kallevik, before our CFO, Trond Olaf Christophersen, will take you through the financial results. We will end this session with Q&A. [Operator Instructions] Later on after presentations, I will ask your questions directly to Eivind and Trond Olaf. But before that, we have a presentation. And with that, I bring the microphone over to you, Eivind.
Eivind Kallevik: Thank you, Martine, and good morning, and welcome from me as well. I will, as always, start with the most important business update, the safety and well-being of our people. It's fundamental for our license to operate, our ability to attract talent and for operational excellence. This is also why safety is a 24/7 priority at all our location always. This quarter, I'm happy to report a record low number of injuries. Our TRI rate has been in continuous decline for many quarters as a result of the strong efforts throughout the organization. I'm also very pleased to report that the slight increase we saw in high-risk incidents from last quarter has developed into a slight decrease this quarter. Identifying risks before they lead to an injury has been high on the agenda over time, and I'm pleased to see it yielding results. However, statistics are statistics, and it only takes a split second to change these graphs on this slide dramatically. So this is never-ending work, and it is important. Because behind these numbers are our people, their families and the local communities that depend on them. Hence, ensuring the health, safety and well-being of our people has an impact reaching far beyond our gates and our balance sheet. Now let's take a look at the key highlights for this quarter. Adjusted EBITDA came in at NOK 9.5 billion with a free cash flow at roughly NOK 1.3 billion, yielding an adjusted RoaCE of 10.7%, right in line with the target we have of 10% over the cycle. Now the performance was mainly driven by higher alumina prices, stronger all-in aluminum prices and positive currency effects. This was partly offset by higher raw material costs, lower extrusion volumes and margins, lower alumina sales volumes and higher fixed costs. Geopolitics and trade dynamics are becoming more unpredictable with tariffs being introduced, retracted and reintroduced at an astonishing pace. More on that and how we're navigating it a bit later. Amid this rising uncertainty, Hydro Extrusions is revising its 2025 outlook while continuing to adjust the portfolio and reduce its costs. In Recycling, tight scrap supply and margin pressure continues also in this quarter. But we are responding by accelerating the cost improvement program with a goal to realize 1/3 of our 2030 target already by the end of 2025. And finally, we announced an investment in a new wire rod casthouse backed by a strategic offtake partnership worth around NOK 1 billion with NKT. And that really reinforces our conviction in the market appetite and also willingness to pay for greener materials. Now let me spend a moment on tariffs and trade uncertainty, which are making headlines on a near daily basis. First, it is important to note that Hydro has limited direct exposure to aluminum tariffs in the current setup. For Hydro Extrusions, most raw materials are sourced locally in domestic markets, meaning limited impact from cross-border trade and very little exposure to imported ingots. Typically, higher aluminum premiums have largely been passed through to customers. In Aluminum Metal, our business is slightly more exposed due to some cross-border scrap flows. But here as well, the operational impact is very well manageable. And so far, we have not seen any significant changes in trade flows resulting from these tariffs either. In terms of exposure, our current market position in key segments like Automotive is also expected to suffer limited consequences. Tariffs on automotive products, including cars and parts are at 25%, the same level as for aluminum. Now European automotive exports to the U.S. amounted to some 6% of total European production in 2024. While automotive is a key segment for both Hydro Extrusions and Aluminum Metal, each maintaining an average market share of some 15% to 20% in core European automotive markets, the direct exposure resulting from potential tariffs on European automotive exports is expected to be quite limited, translating into relatively modest impact on volumes. That being said, the bigger concern isn't tariffs per se, but rather the potential of secondary or tertiary effects on the global economy. And to manage global market uncertainties, we have launched targeted mitigating efforts across both Aluminum Metal and Hydro Extrusions. Hydro Extrusions is optimizing sourcing, production and sales across our network of sites in the U.S., Canada and Mexico, giving us the flexibility to shift volumes and respond quickly to changing market conditions. In the short term, we are reallocating production to improve efficiency and to reduce cost exposure. This includes transfers from Canadian operations to U.S. operations and vice versa. In Aluminum Metal, we are leveraging overall product flexibility to balance supply and demand across regions and customer segments. At the same time, we are monitoring demand side risks, including potential impacts on capital spending and material substitution. While these measures help us stay agile in the face of changing conditions, the overall environment remains volatile. So the pace and unpredictability of trade actions, especially as tariffs are introduced, paused and reintroduced add to uncertainty. For Hydro, as for the wider market, the biggest risk scenario from the current trade conflict is if it leads to a global or regional recession. However, how this plays out is something we can only speculate about and it remains outside what we can influence. And as such, we do what we normally do. We are focusing our attention on what we can influence. And that's why we are continuously reviewing mitigating measures, particularly in Hydro Extrusions and in Aluminum Metal to stay ahead of developments. We are seeing continued uncertainty in the market outlook for extrusions. While we were somewhat more optimistic at the last year's Capital Markets Day, the environment has shifted quite a bit since January 20, and we are now expecting demand recovery in our key markets to be somewhat slower than what we originally anticipated with persistent pressure also on margins. On the back of heightened market uncertainty, we are revising our 2025 EBITDA outlook for Extrusions down from the NOK 4.5 billion to NOK 5.5 billion we announced last November. Given the level of uncertainty, providing a clear financial prediction at this point in time is challenging. However, to give you a sense of the scenarios that could play out depending on how trade and tariff developments impact the global economy, let me give you a couple. In the recovery scenario, assuming CRU's latest forecast of 2% combined demand growth in the EU and in North America holding true and with continued support from improving remelt margins, the adjusted EBITDA could reach roughly NOK 4.5 billion. In the delayed recovery scenario, if demand growth in 2025 is pushed further out, the adjusted EBITDA can be expected to land in the range of NOK 3.5 billion to NOK 4 billion. This depends on whether any recovery materializes in the second half of the year or if it's postponed beyond 2025. In short, the timing of any recovery will be defining for where we land in 2025. Since market developments are outside our control, we are continuing to push forward by moving the levers that we can influence. And we are taking active steps to restructure the portfolio. The anodizing line at Luce will be closed down and decommissioned by Q3 2025. Likewise, the closure of the Birtley plant is completed with the decommissioning commencing shortly, and operations are expected to be fully closed by the end of second quarter. And finally, in Puget, we are curtailing some 30,000 tonnes of Recycling capacity. But also at the same time, we are continuing to build and invest for the future. In Hungary, a new 12-inch press is now in place, producing high complexity profiles at lower costs. And in Tønder, we are installing a semi-automatic packing solution that boosts throughput by 20%, reduce the number of FTEs and improve safety for minimizing non-value-added movement. So yes, the extrusion market remains challenging, but we do continue to believe in the long-term opportunities. And we are staying the course, optimizing the portfolio, cutting costs and investing in upgrades that strengthen our long-term competitiveness in this space. Speaking about strengthening our competitiveness amid challenging market conditions, let's have a look at Recycling. We continue to navigate a market defined by tight scrap availability and weakening premiums. Although spreads are not showing any signs of worsening, the pricing environment remains under pressure and with increasing volatility, particularly in Europe. In first quarter, the European spread between extrusion ingot and standard ingots were down to around $179 per tonne, well below the 5-year average of some $300 per tonne. In response to that, we are doubling down on what we can control, costs and margin levers. A key lever here is reducing hot metal cost in our Recycling operations. At Capital Markets Day last year, we announced the target to lower hot metal costs in Aluminum Metal Recycling by some $30 per tonne by 2030. Given the current market outlook, we are accelerating these efforts, aiming to achieve approximately 1/3 of the 2030 target already this year by front-loading improvements and leveraging advanced analytics. Despite challenges in the short term and increased unpredictability, we continue to see the strong opportunities in the long term, both for aluminum, in general, and for Hydro in particular. In times of greater uncertainty and rising geopolitical tension, our integrated business model and strong cost position make us more robust as we navigate a more unpredictable environment. At the same time, aluminum and aluminum solutions are expected to see growing demand over the long term. And that's really why Hydro's strategy towards 2030, building on our strengths and pursuing profitable growth opportunities in Recycling, Extrusions and Renewable Power Generation, combined with new and ambitious improvement targets is all about setting Hydro up for long-term value creation. And despite the short-term headwinds, we continue to see both a pull in the market and a willingness to pay for access to market-leading low-carbon aluminum across a wide range of customer segments. And as you all know, shaping this market and realizing a greener earnings uplift of NOK 2 billion by 2030 sits at the very core of our strategic agenda. So let's have a look at how we are progressing in the market. Let me start with highlighting 2 recent examples that show how we're shaping demand for low-carbon aluminum, both in the U.S. and in the automotive sector. These are exactly the types of collaborations that reinforce Hydro's position as the supplier of choice for some of our most ambitious customers. Back in late 2023, Hydro Cassopolis produced its first metal, marking the start of large-scale Hydro CIRCAL production in the U.S. Following our success in Europe, we're now seeing growing awareness, stronger demand and an increased willingness to pay also in the North American market. One example is Vode Lighting, a California-based architectural lighting firm. Now the first company in North America to incorporate a market Hydro CIRCAL in its product line. Vode has already transitioned its best-selling product family, ZipTwo to CIRCAL and plans to convert the rest of its portfolio to low-carbon recycled aluminum over time. In the automotive space, we announced yesterday a letter of intent with Nemak to co-develop low-carbon aluminum casting products for the automotive industry. The sector is increasingly pushing suppliers to reduce their embedded emissions, but without compromising structural integrity or material performance. So together with Nemak, we aim to qualify foundry alloy aluminum solutions for automotive applications with a carbon footprint below 3.0 kilograms of CO2 per kilo of aluminum. This new partnership complements our existing work with leading OEMs and shows how Hydro is positioned not only as a supplier, but as a long-term partner and leading provider of high-quality, low-carbon aluminum for demanding applications. Finally, and before I hand the word over to Trond Olaf for the financial update, let me share 1 last piece of exciting news from my side. One of the most significant growth opportunities ahead of us is really the build-out of the energy grid as the energy transition gains momentum. Aluminum due to the connectivity, flexibility and lightweight properties is expected to play a key role in building the grid needed to transport growing volumes of renewable power to the market. On a global scale, analysis shows that around 80 million kilometers of transition lines -- transmission lines needs to be added or refurbished by 2040. And that's actually equivalent to rebuilding the entire global grid today. For Hydro, this is a massive structural driver for wire rod demand. In our core markets, we expect annual demand growth of around 77% through 2030. Back in March, we announced an investment of NOK 1.65 billion in a new wire rod casthouse at Karmøy with a planned annual capacity of 110,000 tonnes. And just a few days ago, I had the pleasure of signing a substantial offtake agreement with our strategic partner and leading European cable producer, NKT. This agreement runs from 2026 through 2033 with an initial commitment of 274,000 tonnes of wire rod aluminum based on REDUXA 4.0 today and with a very clear common ambition to push down towards REDUXA 3.0 and beyond. The estimated contract value is around EUR 1 billion, including a green premium, once again supporting the greener earnings uplift potential of up to NOK 2 billion by 2030. And just to give you some perspective or fun fact, if you like. 274,000 tonnes of aluminum when manufactured into standard medium-voltage cable amounts to approximately 363,000 kilometers of power cable or in other words, enough to circle the world around 9x or stretch all the way to the moon. So with that, let me hand the word over to Trond Olaf for this quarter's financial update.
Trond Olaf Christophersen: Thank you, Eivind, and good morning from me as well, and welcome. The alumina market experienced major shifts in 2024. This was driven by refinery disruptions and challenges in bauxite supply, pushing prices to record highs. In 2025, the global alumina market is stabilizing. Around 6.8 million tonnes of new alumina capacity is expected to come online from India, Indonesia and China with full impact expected in 2026. The normalization of last year's disruptions, combined with expectations of increased capacity, accelerated the decline in alumina prices that began in mid-December last year. By the end of Q1, prices had fallen below USD 400 per tonne, providing growing pressure on refineries operating in the top half of the alumina cost curve. The Chinese alumina market moved into oversupply as Q4 record margins incentivized higher production and new capacity is ramping up. This was further supported by increasing bauxite imports from Guinea, pressuring bauxite prices. Following this, China continues to be the net surplus of alumina. Looking ahead to Q2 '25, the alumina market outside China is expected to remain tight, with oversupply in China could meet any shortfall. According to CRU, a small surplus of 400,000 tonnes is expected in 2025 in the 140 million tonne market. Consequently, the market would remain sensitive to any production disruptions. In Q1 '25, there has been a notable shift in trade dynamics due to evolving U.S. trade policy. The significant expansion of Section 232 tariffs has disrupted expectations around trade flows, adding heightened uncertainty into the market that was not present at the end of 2024. Despite this, the 3-month LME aluminum price remained remarkably stable throughout the first quarter, starting at USD 2,550 and ending at USD 2,530 per tonne. This price stability, however, masks underlying volatility and concerns stemming from broader market dynamics. Since April, prices have dropped and are currently trading around USD 2,300 to USD 2,450 per tonne due to concerns of lower macroeconomic activity and less cost support as alumina and energy prices have dropped. Looking at the fundamentals, the global primary aluminum market ended 2024 in near balance. For 2025, external estimates suggest a moderate global deficit of approximately 400,000 tonnes. This points to a relatively stable supply-demand picture at a high level. But in light of recent tariff development and its impact on economic growth in key regions, the global aluminum market outlook for 2025 could be revised towards a more balanced or even oversupplied market. While the direct tariff impact on our operations is limited in the short term, tariffs have materially affected both LME prices and physical premiums. In the U.S., premiums have surged with the Midwest premium increasing from USD 515 to USD 844 per tonne in Q1, largely driven by the 25% tariffs. In contrast, Rest of World premiums, particularly in Europe, have declined sharply. European standard Ingot duty-paid premiums dropped from USD 360 to USD 205 per tonne, largely driven by fares of redirected Canadian metal inflows and lower logistics cost to Europe as Red Sea disruptions eased. This divergence in regional premiums highlights a growing imbalance in how different regional markets are absorbing the effects of trade policy and geopolitical risk. Our main concern going forward is not direct impact of the currently decided tariffs on Hydro, but rather the broader consequences for the macroeconomic environment. Risks of a global economic slowdown are growing with weakened demand and downward pressure on prices as potential consequences. Moving downstream. Extrusion demand continued at moderate levels in both Europe and North America during Q1, with some uptick in order bookings through the quarter and also into April. In Europe, extrusion demand is estimated to have declined by 1% in Q1 '25 compared to the same period last year, but increased by 16% from Q4, partly due to seasonality. Demand for building and construction and industrial segments has stabilized at a moderate level with some uptick in order bookings throughout the quarter. Automotive demand has been negatively impacted by lower European light vehicle production in Q1, partly offset by increased production of electrical vehicles. For Q2 '25, CRU estimates that European demand for extruded products will decline by 1% year-over-year. Overall, extrusion demand is estimated to increase by 1% in 2025 compared to 2024. Moving to North America. Extrusion demand is estimated to have declined by 4% in Q1 '25 compared to the same quarter last year, but increased 8% compared to Q4, partly driven by seasonality. Extrusion demand has continued to be weak in the commercial transport segment as trailer builds are still low. Automotive demand has been flat in the first quarter compared to the same quarter last year as weaker auto builds have been offset by favorable electrical vehicle mix. Demand has been stable in the Building and Construction and Industrial segments. While the impact from the introduction of tariffs and duties are still uncertain at this stage, order bookings are expected to develop better for domestic producers due to lower imports. In Q2 '25, North American extrusion demand is expected to increase by 1% year-over-year. Overall, extrusion demand is estimated to increase 3% in 2025 compared to 2024. Hydro Extrusion sales volumes declined by 4% year-over-year in Q1 2025. And similar to the previous quarter, transport volumes were particularly affected by weaker shipments to the U.S. truck and trailer market. Automotive sales in Q1 declined in Extrusions Europe, driven by slowing production at some car manufacturers, while automotive sales in North America increased in Q1, driven by increased shipments to the Electrical Vehicle segment. Sales volume growth in the Industrial and Distribution segment turned positive in Q1, but from a low base due to market headwinds over the past 2 years. Hydro Extrusions also saw a significant increase in volumes from HVAC&R segment, driven by copper substitution trends. When looking at the results Q1 versus Q4, we saw positive effects in upstream pricing contributing with NOK 400 million, driven by higher realized aluminum price. Upstream volumes negatively impacted results by around NOK 1 billion. This was mainly driven by lower sales volumes in Alunorte related to delayed alumina shipments from periods with heavy rain, which is expected to be partly compensated in Q2. Furthermore, we saw an upstream raw material cost increase of approximately NOK 700 million, where the largest driver was higher alumina costs in Aluminum Metal. Extrusions experienced a positive development from increased sales volumes, partly driven by seasonality, which contributed with approximately NOK 700 million. Extrusion and Recycling margins improved by about NOK 150 million compared to Q4. In Energy, seasonally higher production volumes and higher prices in Q1, partly offset by lower price area gain had a positive effect of around NOK 300 million. Furthermore, the quarter was positively impacted by lower fixed costs of around NOK 400 million, driven by bauxite and alumina. Currency effects were negative in Q1 with a total impact of about NOK 300 million. The final positive effects of NOK 1.7 billion were mainly related to Q4 reversals of tax settlement in Aluminum Metal, provisions for future social investments and a one-off settlement with our Alunorte gas supplier in Bauxite & Alumina as well as elimination effects. And this concludes the adjusted EBITDA development from NOK 7.7 billion in Q4 to NOK 9.5 billion in Q1. If we then move to the key financials for the quarter. Comparing year-over-year, revenue increased by around 20% to NOK 57 billion for Q1. Compared with Q4, revenue increased by around 4%. For Q1, around NOK 1.3 billion positive effects were adjusted out of EBITDA, with the largest item being net unrealized derivative effects on LME contracts of around NOK 1.5 billion. The largest offsetting items were impairment charges, rationalization charges and closure costs, partly driven by restructuring and extrusions, resulting in an adjusted EBITDA of NOK 9.5 billion. Depreciation was around NOK 2.6 billion in Q1, resulting in adjusted EBIT of NOK 7 billion. Net financial income for Q1 totaled at around NOK 1.2 billion, driven largely by an unrealized currency gain of approximately NOK 1.7 billion affected embedded euro currency exposure in energy contracts in Norway and other liabilities denominated in euro and a stronger BRL versus U.S. dollar, positively impacting U.S. dollar borrowing in our Brazilian entities. These gains were partly offset by net interest and other financial expenses amounting to NOK 470 million. Furthermore, we have an income tax expense amounting to about NOK 3.3 billion for Q1. The quarter was mainly impacted by a higher power surtax and as well as losses in areas where deferred tax assets are not recognized. Overall, this provides a positive net income of around NOK 5.9 billion. Foreign exchange gains of approximately NOK 1.7 billion are adjusted for together with the positive EBITDA adjustments mentioned earlier and partly offset by income taxes of around NOK 800 million, resulting in an adjusted net income of NOK 4 billion in Q1. Adjusted net income is up from NOK 1.5 billion in the same quarter last year and up from NOK 2.6 billion in Q4. Consequently, adjusted EPS was NOK 1.63 per share. Let's then give an overview per business area, starting with the Bauxite & Alumina. Adjusted EBITDA for Bauxite & Alumina increased from NOK 804 million in Q1 '24 to NOK 5.1 billion in Q1 '25. This was mainly driven by higher alumina price and lower raw material costs, partly offset by higher fixed costs and lower sales volumes. Compared to Q4 '24, the adjusted EBITDA increased from NOK 5 billion to NOK 5.1 billion in Q1 '25, mainly driven by lower raw material costs of around NOK 200 million due to full realization of switching from heavy fuel oil to natural gas and also lower fixed costs and other costs of approximately NOK 750 million. The results were partly offset by lower sales volume, mainly related to delayed alumina shipments due to heavy rain expected to be largely compensated in Q2. Then for the outlook, for Q2, Alunorte production volume is expected around nameplate capacity. We further expect high sales volumes compensating for the delayed alumina shipments in Q1. The effect of further decreasing alumina prices in Q1 is expected to be realized in Q2. And compared to Q4, we expect higher raw material costs in the range of NOK 100 million to NOK 200 million, depending on how raw material prices develop. Fixed and other costs are expected to increase by around NOK 200 million to NOK 300 million, largely driven by seasonally higher maintenance and inflation. Moving to Aluminum Metal. Q4 adjusted EBITDA increased from NOK 2 billion in Q1 '24 to NOK 2.5 billion this quarter. The main drivers year-on-year were higher all-in metal prices and reduced carbon costs, partly offset by increased alumina cost. Compared to Q4 '24, adjusted EBITDA for Aluminum Metal increased from NOK 1.9 billion, driven by higher all-in metal prices, a tax settlement reversal in Brazil from Q4 '24, lower energy costs and an additional 2024 indirect CO2 compensation settlement of NOK 180 million following the final allocation of CO2 compensation for 2024 announced by the Norwegian government in April '25. The energy cost reduction, which we previously guided in Q4 and was linked to new power contracts in Brazil came in slightly lower than guided at NOK 200 million. These positive effects were partly offset by higher alumina and carbon costs totaling approximately NOK 750 million and resulting in net raw materials cost increase of roughly NOK 550 million. Increase in fixed costs related to R&D decarbonization efforts ended up at the lower range of the guidance at about NOK 100 million higher compared to Q4 due to some projects being postponed into Q2. This brings me over to the guiding for the next quarter. For Q2, Aluminum Metal has booked 65% of the primary production at USD 2,617 per tonne. This includes the effect of our strategic hedging program. Premiums in Europe have continued to soften into Q2. We have booked 52% of the premiums affecting Q2 at USD 439 per tonne. We expect realized premium in the range of USD 370 to USD 420 per tonne. On the positive side, we expect a net decrease in raw material costs of between NOK 800 million and NOK 900 million, driven by lower alumina costs. The alumina cost decrease is expected to be between NOK 1 billion and NOK 1.1 billion. This number includes the effect of our internal alumina hedge with B&A. The alumina cost release is expected to be partly offset by the reversal of the additional NOK 180 million in CO2 compensation for 2024 booked in Q1. Further, we estimate approximately NOK 850 million in CO2 compensation for quarters going forward. Carbon costs are expected to increase by about NOK 100 million. We expect fixed cost to increase between NOK 50 million and NOK 100 million, driven by the previously mentioned postponement of decarbonization projects from Q1. Sales volumes are expected to remain stable. Moving then to Metal Markets. Adjusted EBITDA for Metal Markets decreased in Q1 from NOK 269 million in Q1 last year to negative NOK 14 million, mainly due to negative results from sourcing and trading activities and negative currency effects. Excluding the currency and inventory valuation effects, the results for Q1 was NOK 62 million, down from NOK 224 million in Q1 '24. Compared to Q4 '24, adjusted EBITDA for Metal Markets decreased from NOK 319 million, mainly due to reduced results from sourcing and trading activities and negative inventory valuation and currency effects, partly offset by increased results from recyclers. Recycling results ended higher at NOK 63 million, up from NOK 25 million last quarter, mainly due to improved margins in Europe as well as higher production in the U.S. For Q2, Recycling margins are expected to remain broadly in line with Q1 levels in local currencies with a modest seasonal increase in volume. In our Commercial segment, we anticipate a higher contribution from sourcing and trading activities in Q2 as well as positive currency effects. As always, we emphasize the inherent volatility of trading and currency fluctuations. And we continue to guide for a commercial adjusted EBITDA, excluding currency and inventory valuation effects of NOK 400 million to NOK 600 million for the full year 2025. Moving then to Extrusions. In Extrusions, the adjusted EBITDA decreased year-over-year from NOK 1.4 billion to NOK 1.2 billion, driven by lower sales volumes and Recycling margins, partly offset by strict cost measures. We saw 4% lower sales volumes as well as somewhat weakened sales margins, primarily in Europe. Furthermore, lower Recycling margins negatively impacted the results with around NOK 130 million as Recycling margins continue to be under pressure with elevated scrap prices. Compared to Q4 '24, adjusted EBITDA for Extrusions increased from NOK 371 million due to seasonally higher sales volumes, partly offset by decreased fixed and variable costs. Looking into Q2, we should look towards the same quarter last year to capture the seasonal developments in Extrusions. Compared to last year, due to continued soft extrusions market in both Europe and North America, we expect relatively flat sales volumes. This is in line with CRU estimates for volume development year-on-year of minus 1% for Europe and plus 1% for North America for the quarter. We also expect continued pressure in both Extrusions margins and Recycling margins, which is expected to be partly offset by decreased fixed costs. Given the combination of margin and volume pressure, we expect for the negative to more than offset the positive in Q2 when comparing year-over-year. As Eivind presented earlier, our full year 2025 Extrusions outlook has been taken down on increased uncertainty. Based on CRU's 2% growth forecast for the EU and North America combined and further supported if remelt margins improve, adjusted EBITDA could reach approximately NOK 4.5 billion in 2025. However, if CRU's expectation for any second half of 2025 demand recovery is further delayed, adjusted EBITDA is estimated in the range of NOK 3.5 billion to NOK 4 billion, combined with any further Recycling margin deterioration. Moving then to the final business area, Energy. The adjusted EBITDA for Q1 increased to NOK 1.18 billion compared to NOK 1.15 billion in Q1 '24. Higher net spot sales led to higher results year-on-year, driven by higher prices and price area gains, partly offset by lower production and lower commercial and trading volumes. Compared to the fourth quarter, adjusted EBITDA slightly increased from NOK 1.15 billion, mainly due to higher production and prices, offset by lower commercial and trading results, lower insurance and Markbygden termination compensation as recognized in Q4 and lower price area gain. Looking into Q2, as always, we should be aware of the inherent price and volume uncertainty in energy. For the next quarter, production volumes and prices are expected to decrease mainly due to seasonally lower consumption. Furthermore, we expect the price area difference result to be at a similar level as in Q1. The price area gain was NOK 150 million in Q1. Let's then move to the final financial slide this quarter. Net debt decreased by NOK 900 million since Q4. Based on the starting point of NOK 16 billion in net debt from Q4, we have a positive contribution from adjusted EBITDA of NOK 9.5 billion. During Q1, we saw an increase in net operating capital of NOK 1.5 billion, mainly driven by seasonal effects and increased inventories. Under other operating cash flow, we have a negative NOK 4.1 billion impact, mainly driven by cash outflow for taxes of NOK 2.2 billion as well as an increase in long-term receivables for indirect CO2 compensation of around NOK 900 million and performance-related pay of NOK 800 million. On the investment side, we have a net cash effective investments of NOK 2.7 billion, or NOK 900 million were a reduction in CapEx payables related to 2024. As a result, we had positive free cash flow of NOK 1.3 billion in Q1. We have also finalized the market share of our 2024-2025 share buyback program with outflow related to those transactions of NOK 200 million in Q1. We expect to complete the full buyback program in Q2 by redeeming shares with a payment of NOK 700 million from the Ministry of Trade, Industry and Fisheries, so they retain the relative ownership share of 34.26%. Finally, we also had negative other effects of NOK 200 million. This was mainly driven by positive net FX effect on cash debt offset by new leases and cash outflow for renewable energy investments in Aluminum Metal. When moving on to adjusted net debt, we start by adjusting for the following items: Hedging collateral and other has decreased since Q4 '24 with NOK 600 million, explained by reduced collateral related to short-term operational hedging positions and other collateral positions. Pension liabilities decreased by NOK 100 million. And finally, we have reduction in other liabilities of NOK 600 million since Q4 '24, mainly driven by a reduction in other financial liabilities related to the renewable energy investments in Aluminum Metal. And with these adjustments, we end up with an adjusted net debt position of NOK 21.8 billion at the end of Q1. And with this, I end the financial update and give the word back to Eivind.
Eivind Kallevik: Thank you, Trond Olaf. So I will end today's session by summarizing the key priorities for Hydro. The health and safety of our employees continues to be the most important priority for us, and we will continue to work tirelessly to get the low number of injuries even further down. Despite volatile markets and an unpredictable geopolitical landscape, we keep our focus on operational excellence, while at the same time, accelerating our business and driving profitable growth. The ambitious 2030 strategy is guiding our priorities, and I am incredibly proud this quarter as we can present many strategic milestones. We continue to position Extrusions for long-term growth, and we see that customers such as Vode Lighting and NKT show a willingness to pay green premiums in order to access traceable low-carbon materials. We have announced an investment in a wire rod casters to become an even more reliable supplier of low-carbon aluminum solutions to Europe, and we have invested in a recycling plant in Torija to lower energy and emissions of our products. All these milestones show us that our strategic priorities are driving Hydro in the right direction. Going forward, we are committed to our decarbonization strategy and to drive long-term value for our shareholders, societies and our employees by continuing to execute on the 2030 strategy. Thank you so much for your attention. And with that, I'll turn it back over to you, Martine.
A - Martine Hagen: Thank you, Eivind and Trond Olaf. Then we are ready for a Q&A session. [Operator Instructions] I see that we already have quite many questions in, so let's get started. So starting with a couple of questions from Winston. Number one, do you expect any lifting of Russian sanctions to have an impact on European balances and Hydro production of primary metal? Start with the first one.
Eivind Kallevik: Okay. So the Russian metal today is already sold into the global markets. It has been so since the Russia invaded the Ukraine. So there may be some trade flow changes in the global market, whether it will land in Europe or somewhere else, I think it's too early to say. But first and foremost, the sanctions needs to be lifted, which I don't really see in the short time horizon.
Martine Hagen: And then second question, given the trade tariffs, do you expect any trade reroutes of aluminum to happen? Are you already seeing Canadian aluminum starting to flow into Europe?
Eivind Kallevik: I think as long as there is a blanket tariff of 25% around the globe with the exception of the Russian metal, where there are sanctions, you will see relatively little impact on trade flows. We really do not see a lot of Canadian metal into Europe at the moment. But of course, it's a volatile environment and any changes in trade and tariffs will have a change, but we'll have to deal with that when any new changes potentially come.
Martine Hagen: And then last question from Winston. Are you seeing any curtailments of physical orders given the macro uncertainty?
Eivind Kallevik: So far, not. I think -- and we will probably come back to this as well. When we look at Extrusions bookings in Q1 and so far into April, bookings are actually quite okay given the market sentiment also when we compare it to last year. So no, we don't see it yet. I think we'll have better proof points as we go through the second quarter and into the third, how this develops.
Martine Hagen: And then we have a question from Liam, Deutsche Bank. Is there scope to reduce CapEx in '25 and '26 from the current NOK 15 billion if conditions remain weak and by how much?
Trond Olaf Christophersen: Yes. On the CapEx side, we still have the guiding of NOK 15 billion. Obviously, in the current environment with the uncertainty, we are looking out to what sort of flexibility we have, but we maintain our guiding of NOK 15 billion as of now.
Martine Hagen: And then we have a question from Magnus, SEB. B&A EBITDA is up just NOK 166 million quarter-over-quarter, while realized prices are up and you guided for NOK 800 million to NOK 1 billion cost release. Is the difference explained by volumes? Or did you not deliver as expected on cost?
Eivind Kallevik: So let me start off on this one. As Trond Olaf said in his presentation, we had quite severe rain at the end of the quarter. That delayed a couple of shipments, anywhere in the range of 140,000 to 150,000 tonnes were moved from Q1 to second quarter. That, of course, has an impact on sales volumes. Production volumes were quite okay. And those 140,000 to 150,000 will then come back in the second quarter of this year as sales volumes. Trond Olaf, you can comment on the cost.
Trond Olaf Christophersen: Yes. On the cost side, we delivered on the guided cost improvement from Q4. And then just to remind you a bit, what we actually see is that we have some seasonality in the costs -- in the fixed cost level for Bauxite & Alumina, especially driven by the rainy seasons, which we typically have in Q1 every year, and that impacts some of the work we do on the tailings that is also impacting fixed cost levels quarter-by-quarter. But again, we realized according to our guiding for Q1.
Martine Hagen: And then we have 2 questions from Marina, RBC. One, what are the drivers behind the increase in fixed and raw material costs at your B&A division in the second quarter? And secondly, do you see potential for your Extrusion division to benefit from increased EU defense and infrastructure spending?
Eivind Kallevik: So on the first one, when you look at the production costs into the second quarter, you should expect that there is a slight increase both in caustic costs as well as a slight increase in Henry Hub costs for the gas. But we would still, from an improvement perspective, still be in the range of $40 million to $50 million on the fuel oil project that we had. Maintenance cost in Brazil typically goes up in the second quarter compared to the first, and that is really seasonally driven. Q1 is the wet season. Maintenance is then harder. Second quarter is part of the drier season, and then we can do more of the maintenance. When it comes to extrusions, yes, you would expect extrusion demand to come up. Again, it's a question of timing. The new budget has been approved in Germany, but it will take some time before it takes effect into the real economy, so to speak. But yes, that will -- and should have an impact on both aluminum demand as well as on extrusion demand.
Martine Hagen: And then we have a question from Dan, UBS. The premium guidance of $370 to $420 per tonne is down slightly quarter-over-quarter. Can you remind us on the exposure to U.S. Midwest premium? And are there any tariff costs included in Aluminum Metal and the Extrusion guidance?
Eivind Kallevik: So on the Midwest premium, you will find that Alouette, our partly-owned smelter in Canada, would be 100% exposed to the Midwest premium. We also have some exports from Qatalum, between 15% and 20% would be exposed to the Midwest premium. On tariff costs, as we said, we think we are marginally exposed to tariffs. So there is no tariff cost included in the guidance as such.
Martine Hagen: And then we have another question from Dan. How much do the restructuring/closure in Extrusion/Recycling reduce the Hydro earnings leverage to demand recovery? Is the 2030 EBITDA target of NOK 10 billion to NOK 12 billion still realistic? And following closures, will we need to invest more to get to this target?
Trond Olaf Christophersen: No. So the plants we are closing will not materially impact our ability to deliver on the NOK 10 billion to NOK 12 billion target by 2030. We're also doing some mothballing of capacity, but that is capacity we can take back again when the markets recover. So for the closed plants, that will have no impact on the targets.
Martine Hagen: And then we have a question from Liam, Deutsche Bank. At current spot levels, where would realized premiums fall into Q3?
Eivind Kallevik: Yes. It's early to say. But I think if you look to the second quarter where we guide at $370 million to $420 million, if I remember correctly, that includes sort of the spot premiums as we see them today. And that should give, I think, a fairly good indication as to how we look into Q3 as well.
Martine Hagen: And then we have a question from Matt, Goldman Sachs. What is the expected rate of return of the Karmøy investment? And what are your pricing premium assumptions here?
Eivind Kallevik: Yes. We don't guide on a specific rate of return. I think in the slide deck, we say that return-seeking investments should be 10% IRR plus. So in this calculation, you should expect that it's well north of 10%. Then if you take roughly EUR 1 billion, which is the contract revenue. You deduct, say, a forward price on LME and standard ingot premium that would give you an approximation of the product premium, including the greener premium that we realize from that contract.
Martine Hagen: And then we have a question from Ioannis, Morgan Stanley. So the Recycling EBITDA improved sequentially and year-over-year. Where do you see EBITDA on spot terms? And do you see any risk of European scrap availability on the back of tariffs?
Trond Olaf Christophersen: Yes. I think quarter-over-quarter, we expect roughly the same margins for Recycling Q1 into Q2. So when it comes to the scrap market, I mean, so far, we do not see material impact on tariffs. But of course, there are a lot of moving parts now when it comes to tariff levels. So that could be a potential impact. But at least what we see on the ground now that has no material impact on us. And again, as I think we have discussed previously, the major challenge for us when it comes to the scrap market is actually the low activity level in the building and construction markets, especially. And that is more the challenge than changing trade flows or export of scraps out of Europe or North America.
Martine Hagen: Question from Amos, Barclays. Regarding Extrusion EBITDA guidance, what typically happens in a recession? Is 0% volume growth assumption in Q2 to Q4 low enough?
Eivind Kallevik: So let's start with what we know. What we know is that bookings in Q1 and bookings into April, as I mentioned, is actually quite okay when you look at this year-over-year. So the guidance or rather scenarios is really to give you sort of a spread of the outcomes as we see them built on whether it's CRU assumptions for the year or whether we see a flat year-over-year and no recovery for the second half. Now if there is a recession, typically, extrusion demand would fall with a factor to GDP decline. But of course, there's a couple of moving factors here that also plays in. If tariffs stay in place, you should expect more of the extrusion demand in the U.S., for instance, to be produced in the U.S., which will partly offset that as well. So it's a convoluted picture and it's very hard to give a very, very precise figure on it.
Martine Hagen: Question from Ioannis, Morgan Stanley. European Commission has introduced a framework for an aluminum safeguard investigation pending a request by the aluminum industry. Shall we expect this to happen in the near term? Or will the industry wait for high imports to materialize first?
Eivind Kallevik: The way I read the situation is that the EU and the commission is ready, and they are looking into -- and following it closely, so to speak. But it's impossible to give a time frame as to when and if safeguarding measures are put in place.
Martine Hagen: Question from Dan. UBS, what is expected for P&L tax rate for 2025 and '26?
Trond Olaf Christophersen: Yes. So we guide on the 30% tax rate. If you look at the yearly average tax rate, I mean, we have some different tax rates in Norway, 22%; U.S. 21%; and Brazil, 34%. But in average, we expect or guide 30%. And then we will have some quarterly variations, and that is because of the hydropower production where we have this special surtax for hydropower in Norway.
Martine Hagen: Another question from Dan. Is NOK 850 million CO2 compensation in Q2 flat quarter-on-quarter?
Trond Olaf Christophersen: There are some sort of moving parts there. So last year, we guided on NOK 800 million and also booked NOK 800 million per quarter. Then the final allocation decision is taken by the Norwegian government in April each year, and it depends on the total situation and energy consumption for all the entitled industries in Norway. And then we ended up with NOK 180 million higher in CO2 compensation for 2024. And that is booked as part of the Q1 results. But if you look at the -- what we book for the CO2 compensation for 2025, then we guide on NOK 850 million per quarter.
Martine Hagen: And then we have a question from Elliott, Danske Bank. Does your Extrusion range of NOK 3.5 billion to NOK 4.5 billion include the recovery of remelt margins?
Trond Olaf Christophersen: Yes. I mean, in the NOK 4.5 billion number, we have some recovery in the Recycling margins in that number. So -- and the NOK 4 billion is roughly a flat development. And then NOK 3.5 billion, then you have reduced Recycling margins as well as lower -- or flat volumes.
Martine Hagen: And then there seems to be no more questions. So I think we will end it there. Thank you so much for joining us today. And please reach out to Investor Relations, if you have any further questions. Thank you.